Operator: Please standby. Good day everyone, and welcome to this Arch Coal Incorporated Second Quarter 2012 Earnings Release Conference Call. Today’s call is being recorded. At this time, I would like to turn the call over to Miss Jennifer Beatty, Vice President of Investor Relations. Please go ahead, ma’am.
Jennifer Beatty: Thank you. Good morning from St. Louis. Thanks for joining us today. Before we begin, let me remind you that certain statements made during this call, including statements relating to our expected future business and financial performance, may be considered forward-looking statements, according to the Private Securities Litigation Reform Act. Forward-looking statements by their nature address matters that are, to different degrees, uncertain. These uncertainties, which are described in more detail in the annual and quarterly reports that we file with the Securities and Exchange Commission, may cause our actual results to be materially different than those expressed in our forward-looking statements. We do not undertake to update our forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. I’d also like to remind you that you can find a reconciliation of the non-GAAP financial measures that we plan to discuss this morning at the end of our press release, a copy of which is posted in the Investor section of our website at archcoal.com. On the call this morning, we have John Eaves, Arch’s President and Chief Executive Officer; Paul Lang, Arch’s Executive Vice President and COO, and John Drexler, our Senior Vice President and CFO. John, Paul and John will begin the call with some formal remarks and then we’ll be happy to take your questions. John?
John Eaves: Thanks, Jennifer. Good morning. Today Arch reported an adjusted net loss of $0.10 per share in the second quarter and generated $181 million in EBITDA. These results reflect the impact of the depressed coal markets as well as our success in adjusting to operations to address these conditions. Our quarterly results exclude one-time noncash charges related to mine closures and good will impairments, which John Drexler will address in his prepared remarks. It has been a busy and challenging three months for Arch Coal. The year-to-date decline in coal demand has been unprecedented, yet we’ve been successful in executing on a plan to improve our operational efficiency, optimize our asset portfolio and enhance our financial flexibility and we’ve made great strides on each of those areas. First and foremost, we proactively addressed any near term covenant or refinancing concerns by restructuring our debt to eliminate any maturities until 2016, and relax any restrictive covenants until 2014. We’ve also increased our cash on hand over $500 million and have additional liquidity available under our undrawn revolver to manage through this downturn. Second, we continue to take aggressive steps to control costs and improve operational efficiencies. And, we’re seeing results with an increase in our second quarter operating margin, despite 11% drop in shipments quarter-over-quarter. Paul Lang will provide in more detail on how we’re controlling our costs and allocating capital in the current market condition. Third, we’re realigning our Appalachian asset portfolio towards higher met mines. Given the muted outlook for domestic thermal coal in that region, we’ve taken the hard step and idled five higher cost thermal operations that were unable to earn an adequate return in the current market. It was a difficult but necessary decision that was made to enhance our competitive cost structure in Appalachia and to position Arch for long term success. Beyond those actions, we continue to evaluate non-core assets and reserves for possible divestiture, although I don’t want to set an expectation that a transaction is certain to occur. We know the inherent value of our assets and our reserves, and we don’t plan to give that value away. We’ve taken the right steps to strengthen our balance sheet, allowing us to take a disciplined approach as we review our portfolio. With that said, at this time, we don’t intend to provide any further details on this matter. Turning now to market dynamics, we believe that we’ve reached an inflection point in the domestic thermal markets. It has felt like spring from January until May, which caused a record build in U.S. coal stockpiles. Those stockpiles most likely peaked at around 205 million tons in May, just above the record set during 2009. Recently though demand has begun to outpace thermal supply, with stockpiles declining in June. Over the last five years, the average drawdown in stockpiles from May to August has been around 20 million tons, and that includes the last two years where the summer was very hot. It’s certainly possible if the summer weather holds up to see a drawdown of 30 million tons this year, resulting in stockpiles of 175 million tons by the end of August. While this level is still 20 million tons above normal, it would be a step towards rebalancing the U.S. thermal market. Another potential catalyst for coal demand is the rise in natural gas prices. Above $3 per million BTU, we think the economics has slung back in the favor of PRB coal. Of course, most units are running reasonably hard right now anyway, so an increase in coal burn was relatively certain, but at prices above $2.75 per million BTU, we think PRB will compete with combined cycle gas plants even after the summer ends. In fact, train traffic is increasing out of the PRB, which is evidence that demand is improving. Arch’s shipments in the PRB for July have been picking up from second quarter levels. In addition deferrals, which were common place in the spring, have diminished. Overall, we believe that customer stockpiles in the PRB-served regions could approach more normal levels by the end of the year. Another positive market data point is the pace of the U.S. coal exports. They continue to surprise to the upside. We recently raised our total industry forecast to 120 million tons, based on strong trends through June and our forecast does anticipate some weakening in the second half. At Arch, we have shipped a record 7 million tons for export year-to-date and would expect that we’ll reach our goal of 12 million tons for the full year. While pricing is not where we’d like, we continue to see solid demand for our coals. We are moving PRB coal to Korea and China, Western Bit coal to Europe and the Middle East, and Appalachian coal all over the world. Since we strategically hedged these movements last year with higher API prices, our export shipments remain in the money despite the recent price declines. Even with the current global macro uncertainty, we expect coal imports into Europe to rise 10% in 2012, as coal burn has been strong in the UK, Spain and Italy. China is on pace to import 220 million tons of coal this year, and India should increase another 10% as well. Through the first half of the year, we think seaborne supply probably outpaced seaborne demand by about 25 million tons. That oversupply situation, however, represents less than 3% of the total seaborne coal trade, demonstrating just how tightly balanced the global markets are. In fact, a little bit of demand acceleration or supply constraint here or there can end up impacting global coal markets very quickly. Despite near term concerns, we believe the long term thesis on coal remains intact. We’re positioning Arch to capitalize on expected growth in the seaborne coal demand with our low cost competitive met and thermal mines and with the access to export infrastructure, be a direct investment as well as through put rights. Turning to supply, rationalization in the U.S. coal industry has accelerated during the second quarter. In fact, if you annualize second quarter production, the industry would be on pace to trim 130 million tons versus 2011 levels. These trends are not limited to the U.S., either. Reports out of Australia suggest that miners there are considering delaying expansion plans and in some cases, reducing current capacity. The reality is that it’s getting more costly to produce coal in Australia, Indonesia, the U.S., Canada and Russia. Third party estimates suggest that cost to construct Greenfield met mines in Australia are nearly $200 per metric ton, compared to $134 per ton for the build out of our Leer project. These findings support a belief that U.S. will come even more a strategic supplier to the seaborne coal trade. Lastly, I wanted to touch on the current state of the met markets. Clearly there is uncertainty in Europe resulting from the sovereign debt crisis. And that’s affecting consumer demand, which in turn is reducing steel production. Consequently, we are seeing softening in the global and U.S. capacity utilization rates of steel mills, partly attributable to seasonality and partly not. Thus, we’ve lowered our expectations for the full year met sales to roughly 7.5 million tons. In the first half, we shipped 3.5 million tons of met at netback prices of $121 per ton. To date, we have 7 million tons committed in the met markets for 2012 with only a very small amount to be placed in the second half. While our met coal capacity lies well above the 7.5 million tons, we don’t feel it’s prudent at this time to push met coal into this saturated market. In short, we’re successfully managing the factors under our control and proactively responding to those elements beyond our control. While the current market is a tough operating environment, we believe that we are well positioned to weather the downturn and emerge as a stronger company as the market recovers. With that, I will now turn the call over to Paul Lang Arch’s COO for a discussion of our regional operating performance and capital plan update. Paul?
Paul Lang: Thanks, I’m pleased to join the conversation today. As John mentioned, we continue to execute our plan to improve operational efficiencies, even while we scale back production and right size operations in each of our regions. We believe the decision to reduce volume targets and capital spending are in the best interest of the company and our shareholders. By taking these actions, we will preserve the value of our low cost reserve base until market conditions improve. On the operating side, we continue to focus on aggressive cost control efforts across the organization. In the Powder River Basin, we lowered our total dollar cash costs in the second quarter versus the first quarter, mitigating the impact of the 20% reduction in shipments. As previously indicated, we removed three draglines for production, with one of those redeployed for reclamation and the other two idled outright. During this period, we managed our costs by reducing labor expense through scheduling changes that cut employee man hours by approximately 10%. We limited the replacement of people lost to normal attrition, and we eliminated most of our contract and maintenance work for reclamation. Finally, we reduced part and supplies as well as repair and maintenance costs, as we calibrated the operations to our reduced volume expectations. These efforts collectively helped offset the impact of reduced shipments and contributed to a unit cost reduction of $0.23 per ton in the region from Q1 to Q2. Looking ahead, we’ve lowered our full-year 2012 cash cost guidance expectations in the PRB by roughly $0.50 per ton, as a result of the successful efforts made to date and the increase in shipments, we expect out of the region in the back half of the year. Offsetting this in part will be a decrease in reclamation credit when compared to previous quarters. In Appalachia, additional sales volume along with the return of the Mountain Laurel’s long-wall to production on April 9 helped reduce our unit cash costs by $3.17 per ton. Regional figures include the operating results of the recently closed operations, but exclude severance and mine closure costs. Looking ahead, we’ve lowered our full year 2012 cash cost guidance expectations for Appalachia by $0.50 per ton, reflecting the closure of higher cost thermal mining complexes. Our goal is to realign our asset portfolio in that region to favor higher margin metallurgical assets, while we maintain low cost thermal mines that can profitably serve both domestic and export coal markets. Currently, between 35% and 40% of our Appalachian volume is sold into metallurgical markets. As we look out over the next several years, we expect those met volumes to rise considerably and account for a much larger percentage of Arch’s Appalachian volumes, sales, and profitability. All things being equal, we expect our cost to rise as our leveraged metallurgical markets increase, but we also expect our margins to expand meaningfully. In Western Bit, higher unit cash costs per ton in the second quarter reflect the impact of two planned longwall moves in the region versus none the first quarter. Looking ahead, we expect our full year 2012 cash cost guidance for the region to be $24 to $27 per ton, despite a better cash cost performance in the first half of the year. In particular, the longwall at our Skyline operation was idled recently, during its transition to a new district in the same region. While a normal longwall move in the Western U.S. takes two to four weeks, this move will be extended. Given the continued market weakness in the region, we anticipate returning Skyline’s longwall to production in October. In summary, I believe our low cost and geographically dispersed mining operations, as well as our strategic reserve base, will help us weather this market trough and position us to capitalize on the inevitable turnaround in energy markets. Turning now to capital spend, we’ve narrowed our CapEx guidance range to $410 million to $430 million for 2012. We also continue to review our future plans to reduce spending, including deploying equipment from idle operations into active ones. As just one example, we moved two continuous miner units and associated support equipment from the idled Left Fork mine to the Leer mine, reducing future capital spend by $10 million. Initiatives like this should save us $30 billion to $40 billion in future years. In short, the outlook for metallurgical coal markets and the cost competitiveness of our expanding met mine platform are spurring us to redeploy capital into areas we believe potential returns are most attractive. One such area is the development of the Leer mine in Appalachia. During the fourth quarter, we anticipate that continuous miner production at Leer will increase as the main mine belt becomes operational and the preparation plant comes online. We still anticipate Leer’s longwall start up to be mid-2013. In addition, we recently finished an upgrade of Sentinel’s preparation plant and have begun the plant upgrade at Beckley. Briefly I also want to touch on our forward sales commitments made during the second quarter. We’ve committed virtually all remaining open thermal volumes for 2012 and have strategically left open only 500,000 tons of metallurgical volumes in the second half. For 2013, we committed volumes at levels similar to or less than what has been done in the past, because of the current soft market conditions. Our forward thermal sales position is now approaching 70% for 2013. At the same time, the commitments we’ve made to date will reduce some of our sales exposure of future years and allow us to run our mines efficiently. Throughout this, we retained the capacity necessary to capitalize on improving markets, particularly at Black Thunder, which remains poised to bounce back in a significant way. Let me close by congratulating our operations for another strong performance in safety and environmental stewardship, even in the midst of challenging market environment. The men and women at our operations have remained sharply focused on these essential areas of performance. I will now turn the call over to John Drexler, Arch’s CFO, to provide an update on our consolidated financial results and liquidity position. John?
John Drexler: Thank you, Paul. As John noted earlier, our second quarter results were impacted by several one-time non-cash charges stemming from idling of five operations in Appalachia and the impairment of goodwill. Given the severe downturn in coal demand, we closed several higher costs thermal Appalachian operations, resulting in one-time closure and impairment charges of $526 million recorded in the second quarter. These charges consist of a non-cash write-off of $502 million related to the carrying value of the assets of the closed operations, $12 million in severance costs and $12 million for future royalty obligations. In addition, we were required under generally accepted accounting rules to evaluate our goodwill as a result of the continued weakness in coal markets and the decline in our equity market valuation this past quarter. Our evaluation determined that the implied fair value of goodwill for a portion of our goodwill balance was less than the carrying value, resulting in a $116 million non-cash charge. It’s important to note that these one-time charges have minimal impact on our liquidity and cash flow from operations and have no impact on our ongoing business operations. In addition, calculations to determine financial covenant compliance specifically exclude all asset and goodwill impairment charges. Turning to liquidity, one of the most important events of the past quarter was Arch’s successful refinancing initiatives. In light of the challenging market conditions the industry is experiencing, we proactively took steps to ensure that Arch has the necessary liquidity and financial flexibility to manage through the down cycle. We put in place a structure that eliminated all near-term debt maturities – our next significant debt maturity is not until 2016 – paid off all of our revolver borrowings and allowed us to put over $500 million of cash on the balance sheet. These actions were accomplished with a comprehensive refinancing package that provides us with the most flexibility to manage in a challenging operating environment. This package includes an upsized $1.4 billion term loan and an amended revolving credit facility. The term loan has a six-year term, carries no financial maintenance covenants and is pre-payable. The amended revolver was reduced to $600 million from $2 billion, while the expiration remains 2016. The credit facility’s covenants were amended to suspend the total debt to EBITDA ratio and ease other financial ratios over the next two years, in exchange for minimum performance targets that we believe are achievable under current market conditions. As of June 30, Arch had approximately $860 million of available liquidity, consisting of cash on hand and available borrowings under our credit facilities. Although we have no borrowings outstanding under our credit – our revolving credit facility, we do not have full access to it as a result of secured debt limitations within the debt limitations within the indenture covering our 2016 bonds. As we lookout through the remainder of the year, we expect liquidity to remain consistent and we expect to end the year with approximately $500 million of cash on the balance sheet and no borrowings on our revolver. In addition, we earned incremental income from our Risk Management and Trading group during the second quarter. In late 2011 and early 2012, Arch entered into API2 swaps for a portion of our expected 2012 export volumes. We view these transactions as economic hedges and part of our ongoing strategy to participate in the seaborne coal markets. As the price of the API2 index has dropped, the value of our swaps has increased, resulting in a mark-to-market gain. Although, not considered an accounting hedge, these positions will convert to cash over the next several quarters, absent a material increase in API2 markets. Lastly, I’d like to review our updated guidance. As you can see, we expect continued success in controlling our cost, despite the drop in volumes, and we’ll work diligently to manage the balance sheet and our liquidity. We now expect thermal sales volumes in the range of 128 million to 134 million tons with met sales of approximately 7.5 million tons. Cash costs in the range of $11.25 to $11.75 per ton in the PRB, which is an improvement from our previous guidance; cash costs between $24 and $27 per ton in Western Bit; cash costs of $68 to $72 per ton in Appalachia, down slightly from our previous range; and cash costs of $33 to $36 per ton in Illinois Basin, up slightly from our previous range. DD&A now in the range of $500 million to $525 million; SG&A in the range of $125 million to $135 million; interest expense in the range of $305 million to $315 million, which includes the effect of the upsized $1.4 billion term loan; and capital expenditures of $400 million and $430 million, which has been narrowed from our previous range. Given our current outlook and the impact of percentage depletion, we still expect to record a tax benefit in the range of 40% to 60% during the back half of the year. In summary, we are taking the right steps to manage through the challenges in the market and position ourselves to capitalize on the inevitable market turn. With that, we are ready to take questions. Joyce, I will turn the call back over to you. Operator?
Operator: Thank you. (Operator Instructions) And we’ll take our first question from Mitesh Thakkar from FBR.
John Eaves: Good morning, Mitesh.
Operator: And your line is open. Please check your mute function.
John Eaves: Good morning.
Operator: And we’ll take our next question from Andre Benjamin with Goldman Sachs.
Andre Benjamin – Goldman Sachs: Good morning, guys.
John Eaves: Good morning, Andre.
John Drexler: Good morning Andre.
Andre Benjamin – Goldman Sachs: A couple questions, first in terms of the costs, how much would you say was a result of, say, lower commodity prices – or I’m sorry, the cost improvement was a result of lower commodity prices and service concessions? And if there were a rebound, say, in second half of the year, or into 2013 within commodity prices, how much of the lower cost level would you expect to be able to retain?
Paul Lang: The cost reductions we made were a mix of both variable and fixed, and we continue to monitor the situation and we’ll continue to look at ways to reduce things. If you look particularly at Black Thunder, about 60% of our costs were related to labor, diesel and explosives, and as I mentioned in my comments, we did a good job of controlling each of those areas. And that being said, I think a lot of what we’ve done is relatively sustainable, which had brought about our decision to lower the cost guidance about $0.50 in the Powder River Basin.
Andre Benjamin – Goldman Sachs: Great, that’s helpful. And then given you guys are a diversified producer, it would be great if you can maybe give a little more detail on what you’re seeing in terms of coal burn and inventory at utilities burning the various types of coal you sell? Are the trends you’re seeing for the PRB, specifically, very different than what you’re seeing for Appalachia? And then what are the customers actually saying in terms of when they’re looking to make decisions around 2013 contracts?
John Eaves: Yeah, good question, Andre. This is John. Certainly, we’ve seen a pickup in shipments over the last couple weeks out of the PRB. We think – at the current burn rates, you could, by the end of the year, have PRB inventories back to somewhat normal levels. As I indicated in my opening remarks, typically from May to August, you see about a 20 million ton drawdown in inventories. We’re anticipating at least 30 million tons during that timeframe. So, we’re seeing strong burns. Inventories peaked at about 205 million in May. We think they’re probably in the 195 million range by the end of the June and continuing to come down. Gas prices directionally are going in the right way. We’re seeing good demand for the PRB coal in 2013, 2014. We’re getting bid requests in and we’ll be responding to those over the next couple weeks. Inventories remain a little bit high for our Eastern thermal products, but actually we’ve seen a couple opportunities in the East over the last couple weeks that have been pleasant surprises. Western Bit continues to have higher inventories in that region, but we’ve been pleased by the international demand that we’ve seen out of Western Bit. The API prices have come off a little bit recently and made it a little bit more challenging, but we have been encouraged by what we were seeing about demand in the international markets there. Met coal, obviously the uncertainties in Europe, the perceived slowdown in Asia, has kind of pulled that back a little bit. That’s why we pulled back kind of our mid-range for met coal to 7.5 million tons. We’ve got 7 million tons committed currently. So, we don’t have a whole lot of coal to put in the market the balance of the year. We’re making very good progress in the third quarter in placing those tons. So, as I stand here today, I’m cautiously optimistic that we’ll get that placed at reasonable realization. So overall, I think, things are going in the right direction. I like where gas – natural gas prices are. We think PRB clearly is back in the money. The fact that we’re starting to see some demand for our Eastern customers is encouraging. What we’ve done as a company to right size our thermal production. Paul and his team have done extraordinary job in managing the cost in a low volume environment. So I guess as we stand here today, I feel pretty good about where we’re headed in our ability to manage through this thing to get to the other side, but we are very positive still in the long term fundamentals of our business and think we’ve got the company well positioned to be able to take advantage of that.
Andre Benjamin – Goldman Sachs: Thank you.
John Eaves: Thank you.
Operator: We’ll take our next question from Mitesh Thakkar from FBR.
Mitesh Thakkar – FBR: Good morning, gentlemen, and I apologize for...
John Eaves: Good morning, Mitesh.
Mitesh Thakkar – FBR: I’m sorry for the problem, my line had some problem. But my first question is first of all, congratulation. My first question is for Paul on the cost improvements. Can you just put the $0.50 improvement on the PRB side into kind of buckets – into few buckets like, what are the saving on the supply and labor and what are the saving just from other cost optimizations, which you might have done?
Paul Lang: Mitesh, as I mentioned earlier, labor by itself for Black Thunder accounts for about 30% of our cost and that just category alone, we were able to decrease our man hours about 10%. So that translates almost directly into proportional savings. We’ve also had good efforts along with vendors. We have a great relationship with several of our strategic and alliance vendors and we’ve had great success in terms of working with them in the area of supply chain management, and that has also translated into reduced costs. As far as the commodities, we got a little bit of help in the second quarter, but that really did not – was not a big portion of our savings.
Mitesh Thakkar – FBR: Okay, great. And my follow up is on just on how do you think your long term steam coal production should be modeled as far as Appalachian is concerned. I know you have idled a lot of mines, so if I look at steady state, how should we think about long term steam coal production in Appalachia?
John Eaves: Yes, what we try to do is right size our thermal production and I think we’ve done that with the recent announcements. We’re at about a 9 million to 10 million ton run rate, very low cost that we think will be competitive in the U.S. and international markets. So, as you think about going forward I would kind of model that kind of range. We think if you look at the cost structure, that $68 to $72 cash cost range is something we think we can stay within. We’ve got some pretty attractive thermal operations now that actually can be competitive in tough markets and make a whole lot of money as markets to start to improve. And, that’s really the way we position our self with these thermal operations.
Mitesh Thakkar – FBR: Okay, great guys. Thank you very much.
John Eaves: Thank you.
Paul Lang: Thank you, Mitesh.
Operator: We’ll take our next question next question from Brandon Blossman with Tudor Pickering Holt.
Brandon Blossman – Tudor Pickering Holt: Good morning, guys.
John Eaves: Good morning.
Paul Lang: Good morning.
Brandon Blossman – Tudor Pickering Holt: John, just a housekeeping item here on the income statement, so the $32 million worth of change in fair value of derivatives, that was related to the API hedges, is that correct? And is that solely for forward periods and none of that is for the current period?
John Drexler: Hey, Brandon, yes that’s a good way to look at that as I described in the prepared remarks. We put into place some positions late 2011, early 2012 associated with our expectation for export volume. So, what you have flowing though on that line item, the vast majority of that is associated with those mark-to-market gains. We didn’t get hedge accounting treatment for those. So, that’s the movement flowing through in the current period. However, absent a significant movement in the API2 position market going forward, those will convert, that position will convert into cash in later quarters throughout the remainder of the year and into early 2013.
Brandon Blossman – Tudor Pickering Holt: And will we see the reversal of that on the kind of the ops realization side or will we see it in this line item?
John Drexler: You’ll see it actually coming through on that line item.
Brandon Blossman – Tudor Pickering Holt: Thank you, very helpful and then Paul, the cost control, exceptional. So I’ll just add another question on that, just because it’s such a highlight for this quarter. Is there any risk that some of that’s just getting capitalized, and we’ll see that kind of unwind in future periods or is this just a clean, very nice cost control number for the quarter?
Paul Lang: I think the best way to characterize this, it was just a clean cost control effort for the quarter.
Brandon Blossman – Tudor Pickering Holt: Okay, that’s simple, awesome. Great job, guys.
John Eaves: Thank you.
Operator: We’ll take our next question from Shneur Gershuni with UBS.
Shneur Gershuni – UBS: Hi, good morning, guys.
John Eaves: Good morning.
Shneur Gershuni – UBS: I don’t want to totally belabor the whole cost thing, but it was a very good number, especially in context of the challenging volume environment. I was wondering if this is kind of the state we should be thinking about. Are there some tricks up the sleeves to take it down even further? You kind of implied at your Analyst Day that you guys were very focused on this. And at the same time, I was wondering in the hypothetical scenario that volumes got better, whether there would be some operational leverage for it to come down even further? Kind of in that context as well, too.
Paul Lang: I think the way to look at these were pretty much as I had mentioned in my opening comments that we – through the first quarter, we were really just kind of balancing or setting the operations in tune with the volumes we were shipping. And we got it dialed-in pretty well in the second quarter. And I think going forward, I think as long as the markets don’t – or the volumes don’t change appreciably, I think we’ve got a pretty good handle on where things should be. The one caution, we did have a benefit of reclamation in the first – or in the second quarter, which will diminish over the rest of the year.
Shneur Gershuni – UBS: Okay. My follow-up question is kind of on the CapEx front. You guys are moving full steam ahead with the Leer mine. I was kind of wondering if there’s any flexibility in the schedule at all. Given the backdrop that people are concerned about, Chinese steel consumption, whether it’s never going to go much higher than where it is now, possibly lower. You’re currently finding – or I don’t want to put words in your mouth, but there’s – the market is challenging to place on these days. I understand it’s a high margin opportunity, but do you run the risk of cannibalizing some of your other higher cost met mines, if you move too aggressively forward with this project? Is there is some flexibility to bring tons on later or sort of respond to market conditions, as they see fit?
John Eaves: Yeah. I’ll let Paul talk about the schedule. But I would say that, given that project we spent about $85 million last year, we’re going to spend about $190 million this year and then the balance in 2013. But as we look at the cost structure of that project, we think it’s going to be competitive, even in difficult markets, but if you look at the quality and the margin enhancements that we see with the Leer project, that’s one area that we don’t have any plans at this point to cut capital. We think the softness that we’re seeing right now in Europe and Asia is more short-term in nature, as we look at the long-term fundamentals in those markets, as well the U.S., we see really met coal being undersupplied given the opportunities we see. So when you see the Leer project come on in mid-2013, it’s certainly not going to have a negative impact on our cost structure in Central App. So given the high quality coal, the margins that this project’s going to create, I think you’re going to see a real benefit as that project comes online in the back half of 2013. Paul, you may want to talk about any scheduling movements that we might have.
Paul Lang: So far we’ve been very pleased with the progress at the Leer mine development. Currently, we’re operating two units developing the area around the shafts and slope. The next couple of months are pretty critical time at the mine. We’ll be bringing on the mainline belt as well as the preparation plant in the fourth quarter. And at that point, it effectively becomes a normal operating mine. And as John said, we remain well on schedule, and in my comments, about starting the longwall up in mid-2013. So at this point, we feel pretty good about where we’re at, and we plan to continue as we’d laid it out.
Shneur Gershuni – UBS: So it’s fair to say that you don’t think that it would cannibal – like, it’s a great operation, great quality and everything else, that it could potentially cannibalize a Mountain Laurel, a Vindex, a Sentinel or something like that, if the market is still soft in a year or two?
John Eaves: We do not. We see it is an opportunity. I mean, if you look at our overall portfolio right now, we’re about 70% high-vol B PCI, 30% low-vol, high-vol A. By bringing the Leer mine on and bringing that better quality, it actually enhances our portfolio of products in the U.S. and around the world. So were excited about it. We want to get it on and get it in the market place.
Shneur Gershuni – UBS: That sounds great. Good luck with the project.
John Eaves: Thank you.
Operator: We will take our next question from Brian Gamble with Simmons & Company.
Brian Gamble – Simmons & Company: Good morning, guys.
John Eaves: Hi, Brian.
Brian Gamble – Simmons & Company: I wanted to touch on the PRB for a minute if I may, still a nice open position for next year out there if market improves to obviously take advantage of. You still had some coal during the quarter, my rough calc was about 8 million tons at 11 bucks and maybe there’s some deferrals in there, so you can chat about that if you like. But my question essentially becomes, if that $11 is really, a real signing or even if it’s $11.50 or $12, what is the strategy for next year with regards the open position? You can get to several different open positions, depending on what quarter you give you guys for a true run rate, but how should we think about the open position and how do you kind of view the decision that needs to be made on produce versus curtailment as the back half of 2012 progresses?
John Eaves: First of all on what we did during second quarter in terms of sales for next year, yeah, we booked about 8 million tons at $11. That was a blend of 8,800 and 8,400. So, we’ve always said that we’re going to layer in business as we see opportunities. We’re not smart enough to always catch the top of the market, but I think we evaluate opportunities on a case-by-case basis. I would tell you right now that we’re seeing a lot of opportunities for 2013, 2014. Given the burn rates that we’re seeing, particularly in the PRB region, given the fact that gas prices have moved over $3, we think that we’re going to be involved in the marketplace. I’m encouraged by what we see from this point, and we’ll evaluate it as we go through the back half of the year. We’re just in the beginning stages of kind of our planning, budgeting process I think, there will be more clarity to that as we move over the next couple months, but I’m encouraged by what I’m seeing in the U.S. market in terms of opportunities for PRB coal, particularly in 2013 and 2014.
Brian Gamble – Simmons & Company: Great, and then at the 7.5 million ton rate for your met, could you break that out by what buckets you would put it in from a quality standpoint?
John Eaves: Again I think, overall it would be about 70% high-vol B PCI and the balance would be low-vol and high-vol A. And that can move around a little bit, but if you look at the total year that’s about where it’ll shakeout. And as I mentioned earlier, I think the value we see in bringing on the Leer project next year is that percentage of high-vol B in PCI goes down and the lower-vol high-vol with the higher margin goes up. So that’s why we’re anxious to get that project on board.
Brian Gamble – Simmons & Company: Thanks guys, appreciate it.
John Eaves: Thank you.
Operator: We’ll take our next question from Michael Dudas with Sterne, Agee.
Michael Dudas – Sterne Agee: Good morning, gentlemen, Jennifer.
John Eaves: Good morning, Michael.
Michael Dudas – Sterne Agee: So following up on Brian’s question on PRB, so looking at 25%, 30% open position, that’s based on if you’re looking at 2012 tonnage, correct, are we’re just assuming that?
John Eaves: That is correct.
Michael Dudas – Sterne Agee: Okay. The – some other companies in the region have some open tonnage as well. How are you going to characterize the eventual pricing decisions when you take in consideration, gas where the – if you’re looking at gas being competitive at $8 PRB or $14 and how flexible that you would anticipate the railroads might be, given the fact that it could be a very small margin between whether a producer ships the coal or decides to keep it in the mine? Is that going to be more important than just seeing gas pop to $3.50 or $4 to kind of get the parity pricing better for you to allocate the coal at a price, I think, inventors want you to do so?
John Eaves: I think so, Michael. I mean just the recent movement we’ve seen in gas prices is corresponded into additional volume. The PRB, we think, it’ll translate into additional sales opportunities for next year. In terms of railroads, they always contract with the domestic utility. So, we don’t have insight into that, but I do think the railroads understand the challenges that we’ve seen recently with natural gas, and they certainly make a lot of money moving the PRB coal. I think given our cost structure and the things we’ve been able to do, again we’ll have to evaluate on case-by-case basis, but, as I stand here today, we’re seeing quite a bit of demand for the next 24 months for our PRB coal. Again, if we go into the fall season, gas prices retreat, things continue to be shaky, we’ll have to back up and evaluate that. But until we get through kind of the planning, budgeting process, see where inventories end up – I think the drawdown we’re seeing right now on inventories, a lot of that’s hitting in the Midwest, I mean, we’ve had 25, 30 days here in the Midwest of 100-degree weather, I mean, it’s – so, the inventories are coming down, and I think there’s going to be a number of people in the market looking for PRB coal.
Michael Dudas – Sterne Agee: My follow-up question, John, would be relative to the initial indications on discussing with customers about your Leer product, about the good quality coal that I’m sure you’re going be start to – have people think about test use, what have you, or when you ramp up next year. Do you still get the sense that it’s more of a quality issue in what customers are eventually looking for later this year into 2013 from a coking or steel company perspective, and is that going to continue to keep kind of the spreads relatively wide? Do you get sense of that because of the products that you do sell for the marketplace and what Leer could provide you in that mix?
John Eaves: Michael, I do. I will tell you that the marketing guys have been really all over the world over the last couple months, getting that product in front of our customers. We have gotten a very good reception from a big part of our customers for the higher quality coal. And I think, the ability to take that coal, even blend it with some of our other coals and maybe enhance the quality of some of those products is attractive as well. So everything we’re seeing really points towards a real premium for that high-vol A, not only in the U.S. markets but in the international markets as well. So, we feel good about the cost structure, the quality and really the margins that it’s going to create for Arch Coal in the back half of 2013.
Michael Dudas – Sterne Agee: Excellent. Thank you, John.
John Eaves: Thanks, Michael.
Operator: We’ll take our next question from John Bridges with JP Morgan.
John Bridges – JP Morgan: Good morning, John, everybody.
John Eaves: Good morning, John.
John Bridges – JP Morgan: Maybe beating a dead horse, but just digging more into the cost thing. In Appalachia, simply turning on the longwall at Mount Laurel probably contributed a lot of the savings this quarter. I’m used, in weak markets, to seeing a line in the income statements of multiple mine costs, that sort of thing. Do you have that line or is it sort of mixed in with the other costs? Could you elaborate a bit on that?
John Drexler: Hi, John. This is John Drexler. I think with the associated closure of the various assets that we closed during this past quarter, those are all separated out in the mine closure and asset impairment costs, goodwill impairment, et cetera. Any ongoing costs are flowing through just normal cost of sales of any idled or shuttered operations, that’s the way that those have typically always flowed through for Arch historically, since our founding.
John Bridges – JP Morgan: Okay. What sort of level of mothball costs do you expect to see for the next sort of 6, 12 months?
John Drexler: It’s something as you move forward, you continue to evaluate and those costs come down over time. We wouldn’t expect those to be very material as we move forward and not distinctive in what we have rolling out.
John Bridges – JP Morgan: Will the...
Paul Lang: Can I take a try at this?
John Bridges – JP Morgan: Sorry.
John Eaves: Paul?
Paul Lang: Yeah, I think those costs will average about $5 million a year.
John Bridges – JP Morgan: $5 million?
Paul Lang: Per year.
John Bridges – JP Morgan: Oh, that’s quite small.
John Drexler: Yeah, right, they’re immaterial as you move forward.
John Bridges – JP Morgan: How many mines does that refer to?
John Drexler: It’s essentially all the idled and shuttered operations that we’ve closed this quarter.
John Eaves: It’d be about five operations, correct, John.
John Bridges – JP Morgan: Okay. Does it – are you going to be forced to do any sort of catch up reclamation on the mines you shuttered, or will that only happen after you’ve made a decision to finally close them?
Paul Lang: I think what in fact happens, it’s a case by case basis. But the mines that we’ve slated to close permanently will go through final reclamation. We have some mines that we will leave ventilated, pumped, and we’ll make the decision later on those. And probably the most significant costs are those related to the Eastern surface mine, which we’ll just begin – which we began reclamation on and that’ll continue really for the next 6 to 12 months.
John Drexler: John, as part of the mine closure and asset impairment charge that we’ve taken, we have taken the charge for those, the estimated reclamation costs that we see moving forward for those operations.
Operator: And due to the large number of participants in queue, we ask that you please limit yourself to one question and one follow-up. We’ll take next our question from Kuni Chen with CRT Capital Group.
Kuni Chen – CRT Capital Group: Hi, good day.
John Eaves: Good morning.
Kuni Chen – CRT Capital Group: I guess most of the questions have been asked already, but just some on the met coal, is there any additional color that you could give us from what your marketing guys have been seeing over the last one to two weeks? Seems like things have been getting sloppier out there in the market. So, just trying to get some additional color?
John Eaves: Certainly the uncertainty in Europe is a little bit concerning. Some of the marketing guys just got back. I mean, we’re continuing to do transactions in Europe. It’s more on a month-to-month basis, versus quarterly or semiannually, but as I mentioned earlier, we see this more short term in nature, and we think the long term fundamentals, the growth around the world in terms of infrastructure requirements, is going to drive additional met supply. And we think the portfolio we’re going to have, post the Leer mine startup, is really going to be well positioned for the U.S. and international markets, and we do think we’ve got a cost structure that’s going to allow us to manage through this tough period. But the 7.5 million tons that we’ve guided to for this year, I mean, we’ve got 7 million tons placed currently. So, we don’t have a lot of volume left for the balance of the year. So, we’re going to be selective and patient and get that done and then we’re in the early stages of discussions for next year with some of our domestic customers already. So, we’ll see how that plays out, but if you look at our cost structure, not only for thermal production, but for met production, we think we’ve got a real competitive advantage in the marketplace.
Kuni Chen – CRT Capital Group: Right. And just as a follow-up on the high-vol B and PCI side, if we were to see further weakening in the benchmark price, at what level of the benchmark have to get to before you would start to, you know, meaningfully dial back your production on the high-vol B side?
John Eaves: I mean, it’s got to come off pretty hard before we would consider that. Obviously high-vol B has taken a lot of the pressure. Again, we’re pretty fortunate with our cost structure on the high-vol B that we can kind of manage through that, but given where benchmark prices are today, that 225, I think they’d have to come off pretty significantly for us to start looking at that.
Kuni Chen – CRT Capital Group: Okay. Thank you.
John Eaves: Thank you.
Operator: We’ll take our next question from Jim Rollyson with Raymond James.
James Rollyson – Raymond James: Good morning guys. You’ve covered a lot of ground today. I appreciate that. John, you talked about exports for this year. You guys are in the nice position that you signed a lot of this, contracts last year to get you to the 12 million tons for this year. Obviously, international pricing right now is quite a bit weaker than everybody would like to see. Kind of curious how you’re thinking about 2013, if you’ve talked to anybody at this point, or if it’s just too early or given where prices are, it’s just, no one is really talking or biting yet, but just kind of how you think about 2013 exports for you guys?
John Eaves: Yeah, thanks, Jim. I mean, we are excited. I mean, if you look at our export volumes and the way they’ve grown, we’re pleased with the progress we’ve made. As we look out to 2013, 2014, we’ve had some preliminary discussions with customers. Again we think the long term fundamentals of our business are sound and you’ve heard me say before, Jim, that we think the U.S. is kind of in that transition zone of going from more of a swing supplier to a long term strategic supplier in seaborne markets. And there has been independent consultants that have actually said that the seaborne trade is going to go from about 1 billion tons today to 2 billion tons by 2020. And at Arch, we wanted to make sure that we’re positioned to be able to participate in that and that’s why, one, we’re building out the Leer mine, two, that we’ve been probably more proactive than others in the U.S. in getting infrastructure to export that coal. If you look over the next four or five years, we think that there will be capacity in place of 270 million, 275 million tons of capacity from the U.S. in the seaborne markets and that’s actually lower than some of the independent parties are forecasting. So we don’t worry too much about the short term, because we think we’ve got the longer term fundamentals right. We think we’ve got the cost structure to kind of manage around that, but I would tell you that we expect to build in 2013 on our 12 million tons of exports. So that’s kind of how we see it.
James Rollyson – Raymond James: Is – on the thermal side of that equation, you guys have historically talked frequently about the fact that NYMEX pricing isn’t necessarily always the right answer, and you’ve tended to get a premium on that with the PRB contracts that you’ve done. Is there any semblance of that in the – when you look at API2 type pricing that you guys are negotiating on the thermal side that maybe you get a little bit of premium to where that is, just since they seem to be out of the money for, like, the next several months?
John Eaves: I think API is good directionally, I mean, your fiscal agreements, always tied right to API? No, they’re not, I mean it’s something we watch it gives us – it’s a transparent market, it gives us the opportunity to look at that, but if we’re going to go out, commit our coal for a period of time, we wouldn’t always do it at API. So it’s something we watch, we think it’s helpful from a market perspective, but where they are right now, it doesn’t make a whole lot of sense, but as you know that can change very quickly. A year ago, API prices were $120, $125 a ton. So we just want to make sure we’re managing this company that we’re in a position to be able to respond when those markets move hard, because if you look, Jim, over the last couple years and kind of the change in coal flow and you look at the South Africans, the Russians, even the Colombians, they’re really chasing more the Asian growth and what it’s done has it’s freed up tremendously opportunities for us in the Atlantic market and even the South American market. And although, we don’t like the prices right now, we hadn’t been discouraged by the demand that we’re seeing in those markets. So we feel good longer-term about where we’re headed in the seaborne markets.
James Rollyson – Raymond James: Thanks, appreciate the color.
John Eaves: Thank you.
Operator: And we’ll take our next question from Dave Katz with JP Morgan.
David Katz – JP Morgan: Hi. I was just – I’m not sure if I heard it, but I was hoping, can you tell the amount of met coal that you guys shipped in first quarter and second quarter?
John Eaves: Yes. We shipped 1.6 million tons in the first quarter and 1.9 million tons in the second quarter. At a 7.5 million ton rate, we need to ship about 2 million tons a quarter back half. We think that’s very, very achievable, where we sit today.
David Katz – JP Morgan: Okay. And then looking forward, I take all of your points on Europe and on China and the rest of the market, but if for some reason, we were out a year and met coal demand was markedly less robust than it is now, how would that alter your plans?
John Eaves: I mean, as we’ve said, we’re market driven, and we have a cost structure to compete in tough markets, but we will make a decision to pull back. I mean, 7.5 million tons is well below our productive capacity of met coal. So, we think it’s only prudent to be patient, not force those tons in the market. So, if we get into next year and the markets soften, I mean we’ll make a decision to pull those tons back. We want to preserve those for the future, because, as I said earlier, we think we’ve got the long-term fundamentals right.
David Katz – JP Morgan: And would that have any knock on effects on your thermal production?
John Eaves: I mean, it’s something again, we’re not just on the met side. We’re always evaluating the opportunities on the thermal side as well. I mean, if you look at our cash cost in Appalachia, it’s in a pretty good shape. So, there again, and even in the thermal market, we can manage and make money in tough markets and really make a lot of money as markets are improving, but if we see demand really come off, inventories build, we’ve made decisions in the past, we will in the future, to pull production back, if the market’s is not there.
David Katz – JP Morgan: Okay. Thank you very much.
John Eaves: Thank you.
Operator: We’ll take our next question from Brett Levy with Jefferies.
Brett Levy – Jefferies: Hey guys, you talked about getting up to, I believe 70% of 2013 committed. Can you give a little bit more color about the pricing and talk a little bit about, perhaps, what basins were sort of more a portion of that 70%? And then, the follow-up would be to give some color on what you’ve done for 2014?
John Eaves: Well, I mean, you can see by our chart in our press release kind of where we are on our pricing for 2013. In the PRB right now, with what we have committed, we’re in that mid-$14 range, Western Bituminous region, we’re in that $39 plus range, and Central App on the steam side, we’re at about $64, and then in Illinois we’re about $44. So as we look at our commitments right now those are weighted average pricing, and as we move out forward and book more business, that will determine how those numbers look. But right now, as I indicated on one of the earlier questions, we are encouraged by the demand that we’re seeing on the PRB for 2013, 2014. We’re drawing down inventories pretty significantly right now. Even a little bit of opportunity in Central App, nothing of late for 2013 yet, but feeling pretty good about that and then we think about our Western Bituminous region, inventories domestically there are a little bit high, but we’re encouraged by the growth in demand we’re seeing for our Colorado and Utah coals, and the cost structure we have out there allows us to be pretty competitive in those markets. So, I think the rest of it’ll play out over the back half of the year, but we’re cautiously optimistic on what we’re seeing from a demand perspective as we move into 2013.
Brett Levy – Jefferies: And then on 2014?
John Eaves: The PRB opportunities that we’re seeing for next year, for 2014 as well, maybe some even into 2015, so those are typically one- to three-year opportunities, like I said nothing in Central App yet from a thermal perspective. Most of our met business is done either annually, semiannually or quarterly or even down to monthly. So that’s the way we look at, The Western Bituminous stuff, as we play more and more on the international market, will become shorter-term in nature.
Operator: And due to the large number of participants in queue, we asked that you please limit yourself to one question. We’ll take our next question from Chris Haberlin with Davenport.
Chris Haberlin – Davenport: Yeah, just a housekeeping question, and I’m sorry if I missed it earlier. Did you provide the realizations on the 1.9 million tons of met you did in Q2?
John Eaves: It was about a $120 a ton for second quarter. We had – we sold quarter-over-quarter by about 700,000 tons in the met market. We now have about 7 million tons committed for the year and about 0.5 million tons to place in the third and fourth quarter.
Operator: And we’ll take our next question from Brian Yu with Citi.
Brian Yu – Citi: Great, thanks. With PRB contract, Arch has historically been more spot market oriented and not so much a reaction to the disproportionate volume reduction you’ve taken this year, but more because of the increased balanced leverage, would you be a bit more eager to lock in forward calendar volumes?
John Eaves: I think it depends on the opportunities, I mean we came into 2012 with about 85% of our thermal coal committed. So we thought we were in pretty good shape. We did not anticipate the market to come back to us like it has, but as I mentioned earlier, we certainly are encouraged by the PRB shipments we’ve seen over the last couple weeks. The opportunities to sell coal in 2013 and 2014. Again it depends on the market demand. We’re going to continue to be market driven, I think you saw our improvement in costs quarter-over-quarter, which allows us to be a little bit more patient, because as we look at the long-term fundamentals of our business, we don’t want to force tons into the market now when we think they’re going to be improving in future years. So, it’s something that we continue to participate in markets, layer in business, where we see opportunities but at the same time, retain opportunities for some uptick in the market.
Operator: We’ll take our next question from Curt Woodworth with Nomura.
Curt Woodworth – Nomura: Hi, good morning. I wonder if you could comment on where you see the spot price for high-vol B and high-vol A right now.
John Eaves: I’d rather not talk about what we’re seeing right now. You can see what the implied price was for the 700,000 tons quarter over quarter. It’s about $81, $82. Given the fact that we’re having discussions with our customers now about future business, I’d rather stay away from that, but the business that we booked during the second quarter was net $81 to $82 mark, which was – most of that’s the high-vol B, obviously.
Operator: And we’ll take our next question from David Gagliano from Barclays.
David Gagliano – Barclays: Great, thanks for taking my questions. I wanted to come back to the PRB. Given your bullish views on the outlook, I’m wondering if you could explain a bit more why you’re willing to commit 8 million tons at below cash costs during the quarter and secondly, related question, it looks like you’re growing your PRB volumes by 6%, second half versus the first half. Obviously, the things are recovering but do you think the market is strong enough to absorb that kind of growth, considering the inventory situation? Thanks.
John Eaves: Yeah David. I mean the 8 million tons that we placed for next year, yeah it was $11, kind of right at our cash costs for Black Thunder, but again don’t forget that it was a blend of 8,800, 8,400, and as we said, we’re always going to be layering in business, we’re not capable of always catching the top of the market, and we have to run our mines. In terms of the back half this year, we’re seeing improvements in shipments. We’re not actually participating in any open market activity right now, but we are seeing our customer base look for higher volumes as we move for the back half of the year, and obviously we’re going to respond to that. But in terms of the future markets, given where we see inventories coming down, where we see gas prices right now, we feel pretty good about PRB being competitive in the marketplace in 2013 and 2014, especially given the fact, the number of bid requests we’re seeing for future years is encouraging. So again, we’ll respond to those on a case-by-case basis, but we’re cautiously encouraged by what we’re seeing in those future years.
Operator: And we’ll take our next question from Paul Forward with Stifel, Nicolaus.
Paul Forward – Stifel Nicolaus: Thanks. Just a quick question I think Paul Lang, you’d mentioned that reclamation benefit that showed up in the second quarter, and there could be a reduction in that number in the second half. Could you quantify that a little bit for us, as to what that might look like, both second quarter and second half of the year?
Paul Lang: As I mentioned earlier, we had idled three draglines from production, or taken three draglines out of production. What we had done was actually take one of those draglines and offset contractor costs on normal reclamation with one of our machines, which utilized it, as well as kept, was a good use of our people and equipment during the slow period. As we move back into this part of the – or the back half of the year, we’ve completed a lot of that reclamation, so we won’t be able to cover that cost quite as easily, but also at the same time, we’re expecting the volumes to tick up a little bit. So there’s going to be a little bit of a balancing between the two as we go forward.
Operator: We’ll take our next question from Lucas Pipes with Brean, Murray, Carret & Company.
Lucas Pipes – Brean, Murray, Carret & Company: Hey, good afternoon, everyone.
Paul Lang: Good afternoon.
Lucas Pipes – Brean, Murray, Carret & Company: One quick follow-up question on the costs side. We heard at your Analyst Day that there was a potential for up to $1.25 per ton kind of to be safe, that to fixed cost absorption. And given today’s cut of $0.50 per ton, which, say, there’s essentially another $0.75 and – yeah, essentially, how should we model the cost side going forward, especially if we consider that PRB inventories might be back to normal by year end?
Paul Lang: I think the guidance we gave, pretty well puts us where we think we are, in that $11.25 to $11.75, right now.
Lucas Pipes – Brean, Murray, Carret & Company: And, in terms of next year, in terms of volumes coming up?
Paul Lang: I think it’s premature to talk about 2013.
Operator: And we’ll take our next question from Lance Ettus with Tuohy Brothers Investment Bank.
Lance Ettus – Tuohy Brothers Investment Bank: I just had a question on layering the PRB, looks like you guys are picking the production back up, but at least the market prices really haven’t really rebounded as much as you would have expected, given the pull back in production in the first half and the rise of gas prices over 3 bucks. So, I guess, how do you guys see that playing out? See any inflection point as far as inventories that would lead to market prices rising? And are you able to get prices that aren’t necessarily reflected in the financial markets?
John Eaves: As we look at what’s going on in the PRB right now, we have seen shipments pick up pretty significantly over the last couple weeks. We’re actually responding more to our customers. We’re not out playing in the market right now. We do think if gas prices continue to stay in this level, there’s going to be more opportunities in 2013, 2014, and we think at good pricing. But really everything you see in terms of increases the back half of the year is more driven by our customer demand and what we see them wanting. We’re not bringing on a lot of additional production at this point that, to be in the marketplace. We’re not going to do that until we see more sustained demand moving forward, and hopefully we will see that in 2013, 2014.
Operator: And we’ll take our next question from Richard Garchitorena with Credit Suisse.
Richard Garchitorena – Credit Suisse: Great, thank you. So my question, just wanted to touch on the ICO synergies for 2013, I know in the past you’ve talked about the bulk of the synergies on the marketing and – or on the sales side, sorry, being realized. With the rationalization in mines at the thermal level, where do you see that going for 2013?
John Eaves: Yeah, I mean, we had guided to about $110 million, $120 million of synergies, and I would tell you that on the G&A side, on the operating side, that we’re seeing those continue. We hadn’t been able capture all of those on the marketing side, because a lot of that value was in the blending. In terms of how that relates to what we closed, I think it’s probably improved on that some, because we’re actually taking some capital from those closed operations and moving it to other locations as we indicated. We think there will be $30 million to $40 million of capital savings in the coming years by that decision to close some of those operations. So we’re still on target to get those synergies, I think the blending synergies are little bit behind, because of the softness in the market, but as we see that improve, as we see Leer mine come on and the ability to blend more those products at our port facilities, hopefully our synergies will be conservative.
Paul Lang: As you look at the way we laid out synergies, I think we’re still in very good shape, because if you think back to how the three buckets were laid out, none of those had to do with those thermal operations that we closed down.
Operator: And we’ll take our next question from David Beard with IBERIA.
David Beard – IBERIA: Good morning.
John Eaves: Good morning.
David Beard – IBERIA: Maybe just to look at the – your bonds, are you able to repurchase any bonds in the open market, and if so, would that be a use of a portion of your cash?
John Drexler: This John Drexler, David. The bonds are traded publicly. So at any point in time, they are available for anyone to purchase. I think as we look at kind of where we are right now, preserving and managing liquidities is an acute focus for us. However, as we move forward and as we start to see markets improve, we’ll evaluate all of the opportunities and uses of cash, and clearly deleveraging will continue to be a focus here for us, as we are in a position where we’re fairly highly levered as we move forward. So we’ll continue to focus on that as we move forward.
David Beard – IBERIA: Great. Thank you.
Operator: We’ll take our next question from Justine Fisher with Goldman Sachs.
Justine Fisher – Goldman Sachs: Good afternoon.
John Drexler: Hey, Justine.
John Eaves: Good morning.
Justine Fisher – Goldman Sachs: Hey, so my question in on your strategy for contracting for the rest of the year and it pertains to how much coal you want to have priced, let’s say, at the time of your third quarter earnings call in October, because it seems that you might, either have a possibility to sell the coal – sell more coal into the market, but if it’s at $11 a ton or $11.50, do you want to sell that coal or do you decide to cut production more in 2013, which could have a bad effect on your costs, but at least allow you not sell more coal at that kind of a price level. And so, how do you guys think about the benchmarks that you’re setting, and when you’re going to make that kind of decision? Would you hold off and leave a smaller amount unpriced, let’s say, 77 – or a smaller amount priced, let’s say 70% to 75%, and then wait to price more of that in anticipation of a better market, or would you make those sorts of decisions in the October, November timeframe?
John Eaves: I mean we’re not married to any particular percentage, I mean we want to continue to evaluate the market. We’ll look at a case-by-case basis. The guys are starting the budgeting planning process over the next couple weeks, I think more clarity will come to that by the time we’ll get to the October call. We are encouraged by what we’re seeing with the drawdown in inventories, the shipment pickup, but as I said earlier, we’re in no way ready to bring on a bunch of production and chase the market. Right now we need to see a more sustained market that provides us opportunities to get a return. I mean we’re not going to always catch the top of these markets, but we are going to layer in as we see that market improving and that’ll continue to be our strategy as a company. And fortunately we have a good cost structure that allows us to do that.
Operator: And due to time constraints, we have time for one final question. And we’ll take that final question from Wayne Atwell, with Global Hunter.
Wayne Atwell – Global Hunter: Thank you.
John Eaves: Good morning, Wayne.
Wayne Atwell – Global Hunter: A quick question and I apologize if you’ve given this out, but what’s the capacity of the mines you’ve closed permanently. And are they union, and are you likely to close any more mines in the future, near future?
John Eaves: Those mines, there was five mines in total, it was about 3 million tons of annualized production. They were non-union operations. In terms of additional closures, right now we have no plans to do that, but again, that we’ll determine on what we see in the marketplace. We want to make sure that we’re managing our costs tightly, managing our capital, the guys have done a great job in that regard. And we think that continues to allow us to be competitive in tough markets and position us, when the markets improve, that we can make a lot of money.
Operator: And that concludes today’s question-and-answer. At this time, I’d like to turn over to Mr. John Eaves for any closing remarks.
John Eaves: Thanks, Joyce. We certainly appreciate you being with us today. As I mentioned earlier, the quarter has been busy one. We’ve restructured our debt. We’ve rationalized production. We’ve been very busy in positioning this company from a cost standpoint, from a capital standpoint, to get through this challenging period and come out on the other side a much stronger company. We think our portfolio is diverse. We think our cost structure is a competitive advantage, and we do think we have the long term fundamentals for our business right, and we’re going to mange to that. So we look forward to updating you on our third quarter call. So thank you for your interest and look forward to future conversations.
Operator: And that concludes today’s conference. Thank you for your participation.